Operator: Welcome to the Adient First Quarter Financial Results Conference Call. The lines have been placed in a listen-only mode until the question-and-answer session. [Operator instructions] Today's conference is being recorded. Now, I'll turn the call over to Eric Deighton. Sir, you may begin.
Eric Deighton: Thank you, Shirley. Good morning, and thank you for joining us, as we review Adient's results for the first quarter of fiscal 2024. The press release and presentation slides for our call today have been posted to the Investors section of our website at adient.com. This morning, I'm joined by Jerome Dorlack, Adient's President and Chief Executive Officer; and Mark Oswald, our Executive Vice President and Chief Financial Officer. On today's call, Jerome will provide an update on the business followed by Mark, who will review our Q1 financial results and outlook for the remainder fiscal 2024. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Jerome and Mark, there are few items I'd like to cover. First, today's conference call will include forward-looking statements. These statements are based on the environment as we see it today, and therefore involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements made on the call. Please refer to Slide 2 of the presentation for our complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the appendix of our full earnings release. This concludes my comments. I'll now turn the call over to Jerome Dorlack.
Jerome Dorlack: Thanks, Eric. Good morning. Thank you to our investors, prospective investors and analysts joining the call, as we review our first quarter results for fiscal year 2024. Turning to Slide 4, let me begin with a few comments related to the quarter. As we began fiscal 2024, the company maintained its laser focus on business performance, including launch, execution and continuous improvement. The team navigated challenges from strike-related production disruptions, while maintaining focus on the day-to-day operational execution that is driving the business forward. Despite the challenges in the beginning of the quarter, the focus on operational execution and cash management actions, allowed us to successfully navigate any short-term impacts. Turning to Adient's key financial metrics for the quarter, which are shown on the right hand side of the slide. Revenue for the quarter, which totaled $3.7 billion was down about 1% compared to last year's fiscal quarter, first quarter. Adjusted EBITDA for the quarter totaled $216 million, up 2%. The UAW at strike in certain of our North American customers, ultimately impacted Adient by approximately $125 million in sales and $25 million in EBITDA. Adient ended the quarter with a strong cash balance and total liquidity of $990 million and $1.9 billion, respectively. We continue to drive the business forward, winning both new and replacement business with customers that are expected to drive continued margin improvement in the coming years. We are demonstrating our ability to add value to customers through our engineering capabilities, manufacturing footprint and process discipline. At the bottom of the slide, we've highlighted a number of customers and industry awards received in each of our regions in Q1 as proof points of our commitment to delivering excellence. Both the business we have been awarded and the recognition we've received show that our strong business performance, operational excellence and mindfulness towards sustainability are driving value to Adient stakeholders and shareholders including customers, suppliers and employees. As the production environment became clearer, following the resolution of strike-related production disruptions, the company resumed its return of capital to shareholders, through its balanced capital allocation strategy. We deployed $100 million towards share repurchases within the quarter, which Mark will talk more about in a moment. Again, our commitment to return capital to shareholders is an important part of our balanced capital allocation strategy. The last point on the slide shows we've released our 2023 Sustainability Report, highlighting a number of accomplishments and commitments, marking our path toward a long-term sustainable transformation. I'll discuss this in more detail on the next slide, but the achievements that we highlight demonstrate that Adient has firmly integrated sustainability into the core of our business. Turning to Slide 5 and further on that point. Since we began publishing our annual sustainability report four years ago, a lot has changed. As both the environment in which we operate and our ESG development has evolved, our goals have evolved as well. One thing that has not changed is our commitment to have a long-term sustainable transformation focused on limiting our negative environmental impacts on the planet and focusing on social and economic changes to create a better environment for everyone. The sustainability report outlines how we are aligning our strategic priorities to where our sustainability activities can deliver the greatest impact. This includes our ongoing focus on product design to support not only our own sustainability goals, but those of our customers as well. You can see on the slide a number of highlights and accomplishments achieved in fiscal year 2023. I won't read each of these and there are more highlights within the report, but these examples reflect the milestones as we advance our sustainability mission focused on products, processes and people. We've included a link to the full report. Please take a few minutes to see the progress we've made in our sustainability journey and the commitments we intend to deliver on in the future. Now turning to Slide 6. Let's take a look at our business wins and launch performance. As you can see on Slide 6, we highlight several of the important recent and ongoing launches. Although the production environment in the Americas was disrupted in the quarter, our process discipline and execution enabled us to effectively execute on launches, including launches in our JIT, foam, trim and metals business that support the deepening levels of vertical integration and business that we are winning. We are able to successfully navigate the delays caused by strike-related production stoppages at our customers that caused certain program starts to be delayed. The team continues to maintain process discipline, which is key to managing the number and complexity of launches scheduled for this fiscal year. Now turning to Slide 7. As usual, several recent new business awards are highlighted here. These new business awards once again represent a strong mix of customers, geographies, various levels of electric, hybrid and ICE platforms. Important to also note, our deepening levels of vertical integration and recent wins. More than 90% of business awarded by sales volume in the last fiscal year contained some level of vertical integration in foam, trim and/or metals. This continues and advances a trend starting in fiscal year '22, driven by our deep expertise in engineering, logistics, purchasing and operational execution that allows us to drive value for Adient and our customers when we control a greater portion of the seeding value chain. I'd like to especially highlight a new business sourcing on a BEV program that is supported by our Bridgewater Interiors joint venture. As a reminder, BWI is a successful diverse joint venture that we have been involved in for more than 25 years. We're particularly proud of this partnership and the competitive advantage that it brings to Adient, along with our Avanzar joint venture, which is also a diverse JV. We'll provide more details on this win at a later time. Flipping to Slide 8. We've talked about the emerging trend that we're seeing in increased seeding content as an opportunity recently. Customers in China specifically have reimagined the vehicle interior around creature comforts like deep recline, long rails, massage and sound and seat to name a few. Safety features like delta seat and pelvic crash management are becoming increasingly relevant as the comfort features change the cabin interior configuration. And sustainable innovations like non-leather seeding surface materials and low carbon steel are driven by both ESG goals and cost reduction efforts. These trends represent an opportunity for Adient, but also increase a level of complexity that we will have to manage. As content increases, we see that the JIT assembly environment can become increasingly complicated unless properly managed, seed content features and industrialize them in a way that is cost effective driving win-win solutions for Adient and our customers. This is especially relevant as our customers look to offset increasing labor costs at their assembly plants. We demonstrated a few of our strategies for driving process efficiencies to investors recently at our Plymouth Tech campus, as well as at a recent conference. Our ES3 process leverages available knowledge to create opportunities and value for our customers, which can identify opportunities for reducing operational waste, engineering simplification, and network optimization. We use value stream mapping to identify manufacturing processes improvements that we can bring to our customers and industrialize. We're able to leverage our world-class manufacturing footprint capabilities to engineer and execute solutions like modular assembly. By leveraging the metals business that we own, we can assemble seat, back frame and cushion pan modules in our existing footprint and enable labor, freight and inventory efficiencies that not only reduce carbon footprint, but also cost. It's essential that we own the metals real estate to execute on this particular opportunity. We are able to share these efficiencies with our customer in order to manage the increasing complexity, while driving financial benefits. It's important to note that, we have modular assembly processes planned to go into production during this fiscal year. We are continually evaluating and improving how we operate the business. The key takeaway is that, ES3 encompasses a range of benchmarking, continuous improvement and VA/VE practices that give us the ability to demonstrate opportunities for both our customers and Adient, that enable us to deliver our commitments on business performance. Turning to Slide 9 now. Pending into the end of fiscal year '23, there were reasons to be cautious and conserve cash. With the strike looming at the time, our strategy was to prepare our balance sheet for a longer-term production disruption in the Americas. As the uncertainty around the length and breadth of production disruption was resolved, we are able to get clear line of sight on our ability to generate cash. With cash in the balance sheet and good clarity around free cash flow for the year, the company returned $100 million to shareholders via repurchases, totaling approximately 3 million shares. Our capital allocation plan remains balanced. We're committed to returning capital to shareholders, while also balancing the cash needs of the business. I'll also point out that our ability to improve margins, generate cash and prudently manage our balance sheet was recognized by both S&P Global and Moody's recently. The company's corporate credit ratings were upgraded by both in recent months. Our balance sheet strength and financial performance also enabled us to amend and extend our Term Loan B subsequent to the quarter. Safe to say that our confidence in the company's ability to generate cash, along with the flexibility we have built into the capital structure is expected to underpin significant returns to our shareholders. With that, I will turn it over to Mark to cover the financials.
Mark Oswald: Thanks, Jerome. Let's jump into the financials on Slide 11. Adhering to our typical format, the page is formatted with our reported results on the left side and our adjusted results on the right side. We will focus our commentary on the adjusted results, which exclude special items that we view as either one-time in nature or otherwise skew important trends in the underlying performance. For the quarter, the biggest drivers of the difference between our reported and adjusted results were related to purchase accounting amortization and restructuring and impairment costs. Details of all adjustments for the quarter are in the appendix of the presentation. High level for the quarter, sales were approximately $3.7 billion, down about 1% compared to our first quarter results last year. Lower volumes, primarily in the Americas resulting from strike-related production stoppages at our customers, were partially offset with positive FX movements between the two periods. Adjusted EBITDA for the quarter was $216 million, up 2% year-on-year. The increase is primarily attributed to benefits associated with improved business performance. These benefits were partially offset by the impact of lower volume and mix, and to a lesser extent, the negative impact of currency movements between the periods and timing of material economics. I'll expand on these drivers in just a minute. Finally, at the bottom line, Adient reported adjusted net income of $29 million or $0.31 per share. Let's break down our first quarter results in more detail. I'll cover the next few slides rather quickly as details for the results are included on these slides. This should ensure we have adequate time for the Q&A portion of the call. Starting with the revenue on Slide 12, we reported consolidated sales of approximately $3.7 billion, a decrease of $39 million compared with Q1 fiscal year '23. The primary driver of the year-on-year decrease was lower volume and pricing, call it, $95 million including about $36 million of lower commodity recoveries. The favorable impact of FX movements between the two periods benefited the quarter by $56 million. Focusing on the table on the right hand side of the slide, Adient consolidated sales were lower in the Americas and Asia Pacific, while sales in EMEA grew by about 1%. America’s market performance was primarily driven by key platforms that were impacted by strike-related production stoppages, like the RAM, Wrangler and GM's midsize SUVs, as well as program launches that were taking place in the quarter, such as The Tacoma. In Europe, the top-line benefited from new program launches and favorable program mix, which was offset by certain planned program exits. In China, end of production of certain programs and model year changeovers resulted in lower year-on-year sales. Important to note, we still expect to outpace regional production in China on a full year basis. With regard to Adient's unconsolidated seeding revenue, year-on-year results were up about 10% adjusted for FX. In China, where a large majority of Adient's unconsolidated sales are derived, the strong increase in sales was driven by customers like FVW and Toyota. Additionally, our Kuiper joint venture benefited from production growth with domestic Chinese customers, including FAIC, Cherry and BYD. Moving to Slide 13, we've provided a bridge of adjusted EBITDA to show the performance of our segments between periods. Big picture, adjusted EBITDA was $216 million in the current quarter versus $212 million reported a year ago. The primary drivers of the year-on-year comparison are detailed on the page and are consistent with what we expected heading into the quarter. Improved business performance was the primary driver of these results, benefiting the quarter by $39 million. Looking deeper within that bucket, the biggest positive driver was improved net material margin of $30 million. In addition, freight costs were $23 million improved year-on-year, as well as improvements we saw in labor and overhead. Partial offsets within business performance were launching tooling costs, as we manage increased launch volume and complexity, as well as the timing of engineering spend and other one-time SG&A costs. I'll note that SG&A cost comparison is driven in part by certain asset sales in the year ago period that did not repeat. Headwinds partially offsetting the business performance included, volume and mix impacts of about $18 million. Adient's program mix in the Americas was influenced by the UAW strike-related production stoppages. Outside of the strike, Tacoma volumes were impacted as the program moved through the launch curve. In APAC, certain programs reached year end production or model year changeovers, resulting in lower Adient production volumes. The timing of commodity-related recoveries drove the lower net commodities, call it, $8 million for the quarter. The negative impact of currency movements between the two periods was $7 million, note that the favorable translational impact on our sales, primarily driven by the euro were more than offset by transactional FX headwinds in America’s and Asia. As we indicated in November, we expect the FX to be a headwind for the quarter and we expect the FX pressures to intensify, as we move through the fiscal year. I'll have additional commentary on what we can expect for the remainder of the year in just a few minutes. And finally, equity income was lower by $2 million. This was a result of certain one-time benefits in the prior period that did not repeat and to a lesser extent, the restructured pricing agreement within Adient KEIPER joint venture. Important to note, the improved net material margin within the business performance bucket was aided by that change. All in all, a quarter very much in line with our internal expectations, driven by continued strong execution. Similar to past quarters, we've provided our detailed segment performance slides in the appendix of the presentation. High level for the Americas, improved business performance was the primary factor driving positive results. Business performance was driven by increased net material margin, inclusive of the benefit of the restructured pricing agreement at our KEIPER joint venture, lower freight costs, improved labor and overhead performance and partially offsetting these benefits were increased launch and tooling. In EMEA, the year-on-year comparison was influenced by several factors such as improved net commodities, favorable currency movements, improved business performance, partial offsets within business performance were higher SG&A costs, as certain one-time benefits recognized last year did not repeat, as well as the timing of customer launches, which drove engineering and launch spend. Volume and mix was a slight headwind resulting from program mix. In Asia, business performance reflected the negative impact of lower year-on-year commercial recoveries as well as the timing of launch activity, which drove increased engineering and launch spend. These headwinds, which we view as temporary, more than offset the efficiencies in labor and overhead. Equity income was driven lower by the revised pricing agreement between the joint venture partners at our KEIPER JV. Again, our consolidated Americas business benefited from the revised pricing agreement. Currency movements between the periods resulted in a $4 million headwind, primarily related to the Japanese yen and the Thai baht. And finally, volume and mix was a modest headwind. As I mentioned on the previous slide, Adient’s program mix in that region was impacted by certain model year changeovers and end of production of other models. We continue to expect strong regional performance in volume and mix for the balance of the year. Let me now shift to our cash, liquidity and capital structure on Slides 14 and 15. Starting with cash on Slide 14, adjusted free cash flow defined as operating cash flow less CapEx was an outflow of $14 million. This compares to an outflow of $17 million in last year's first quarter. The relative improvement despite the UAW strike impact for the quarter is a testament to the cash management actions the team was able to execute within the quarter. The primary drivers of the year-on-year improvement are listed on the right hand side of the slide. I won't read each, but important to point out that the modest cash outflow in the quarter is in line with our internal expectations. One last point, as we called out on the slide, Adient continues to utilize various factoring programs as a low cost source of liquidity. At December 31, 2023, we had $85 million of factored receivables versus $171 million at fiscal year-end. Flipping to Slide 15. As noted on the right hand side of the slide, we ended the quarter with about $1.9 billion total liquidity comprised of cash on hand of $990 million and $938 million of undrawn capacity under Adient's revolving line of credit. Adient's debt and net debt position totaled about $2.5 billion and $1.6 billion, respectively, at December 31, 2023. On the lower right hand side of the page, we have noted several important highlights with respect to our debt and capital structure. First, as Jerome discussed earlier, we returned $100 million to our shareholders in the quarter. As we indicated previously, the cash on the balance sheet combined with our confidence in our ability to generate cash underpins the company's ability to execute our share repurchase program. As a reminder, we have $435 million remaining on our share repurchase authorization. Our commitment to execute opportunistically on share repurchases is an important part of the capital allocation strategy. Both S&P Global and Moody's recognize the company's earnings growth, the ability to generate cash, and the flexibility of our capital structure with upgrades to the company's corporate credit ratings in December and January, respectively. This is a good external validation of the progress we've made in reshaping our balance sheet over the past couple of years as well as the company's positive trend in earnings and cash generation. The recent amend and extend to our Term Loan B demonstrates we're not sitting still. The amendment improves our pricing to sulfur+275, a 50 basis point improvement as well as extended the maturity to 2031. The average tenure of our outstanding debt after the deal increased from 4.2 years to 4.8 years. We ended the quarter with a net leverage ratio of 1.65x, well within our targeted range of 1.5x to 2x. The team will continue to evaluate and execute actions that will further enhance the strength and flexibility of our cap structure. With that, let's flip the Slide 16 and review our outlook for the remainder of fiscal 2024. Adient's fiscal year '24 guidance has been updated to reflect our Q1 results and current market conditions, including revised production assumptions in current FX rates. Adient’s consolidated sales are expected to land between $15.4 billion and $15.5 billion. We've seen currency movements, particularly the euro, favorably impact our top-line forecast. That said, while S&P production forecasts have increased, catching up to what we already were aware of based on customer releases, certain of Adient's programs are moving in the opposite direction, driven primarily by launch delays and alignment with customer demand. In China, the recent upward revisions to production forecast are weighted towards a select group of local manufacturers with limited Adient content, such as BYD, SAIC and Geely. The net result is revenue outlook that is more heavily weighted towards H2 versus H1. For adjusted EBITDA, we're reaffirming our previous guide at $985 million. Business performance is expected to be a significant driver of the year-on-year earnings and margin growth. Based on the current guide, the implied all in EBITDA margin of 6.4% represents an FX adjusted 70 basis points of margin expansion over fiscal year 2023. Important to note, given the revenue outlook just discussed as well as the normal seasonality of our equity income, we expect Adient's second half EBITDA to outpace the first half, as business performance continues to improve for the second half volumes pull through. With regard to equity income, consistent with prior years, it's common to see a significant decrease as we move sequentially from our first quarter into Q2, driven, of course, by the China New Year. Last year, for example, Adient's equity income was $15 million lower in Q2 versus Q1. I anticipate a similar decrease this year. One last point on the cadence of our earnings, the timing of our commercial settlements is also a key driver of lumpiness between quarters. Moving on, interest expense is still expected at about $185 million, given our expected debt and cash balances as well as interest rate expectations. Note that the recently completed Term Loan B actions were planned and contemplated within our previous guidance. Cash taxes continue to be forecast at about $105 million. For modeling purposes, tax expense is estimated at $115 million. CapEx, largely based on customer launch schedules, is forecast at $310 million, no change from the November guide. And finally, our free cash flow is expected at $300 million as the calls for cash remain stable. Again, no change from November. With that, let's move to the question-and-answer portion of the call. Operator, can we have our first question, please?
Operator: Thank you. [Operator Instructions] Our first question comes from Rod Lache with Wolfe Research. Your line is open. You may ask your question.
Rod Lache: Good morning, everybody. I had a couple of questions. It's really nice to see the acceleration in share repurchases. Could you just remind us, is your minimum cash position still $700 million, which would imply maybe almost $300 million of excess cash now? And if you do achieve the $300 million of free cash flow, can you remind us how much you would earmark towards share repurchases versus debt, because it looks like you could actually complete your $430 million remaining authorization while still staying in the leverage targets?
Mark Oswald: Yes. Thanks for the question, Rod. I do think that we could run the company with, call it, $700 million of cash. That said, we also look at the overall macro environment, right, to see whether or not there are certain times that we want to run with a little extra cash on there. The way I think about the capital allocation this year, Rod, is we are off to a strong start with the share repurchases. We expect to generate more cash. We do have to balance that, though, we do have some 3.5% notes that we have to take care of this year, call it, about $130 million, right? There could be an opportunity to take down a little bit of our higher priced debt rate. So, again, I'd look at it as a balanced approach there. And as we move through the year, clearly, we'll be looking at -- we're adding stock is trading and the pacing of that measured approach as we go through 2024.
Rod Lache: It does look like something like this pace is achievable even with the 130 for what it's worth. The margins are improving despite labor headwinds, transactional headwinds, and you in fact mentioned that performance is a net positive. Could you just remind us of the impact of labor and transactional headwinds and what actually is mitigating that to actually achieve the positive performance?
Mark Oswald: Yes. So, let me start and then Jerome feel free to jump in. So, you're absolutely right. Business performance continues to improve. And we said all along, Rod, that business performance continues to be positive or needs to be positive to offset the challenges or the macro external headwinds such as labor inflation, et cetera. We had indicated before that we thought FX was going to be about a $60 million headwind this year. We're still in that camp where we sit today, which means we have to get better in terms of our continuous improvement. We have to basically our balance in, balance out continues to improve. That helps lower freight costs, right? It's just what I'd say just core operating efficiencies that we have to pull through.
Jerome Dorlack: And with respect to your question, Rod, what's kind of enabling some of that, I'd say, it's it really is when we talk about things related to ES3 and some of the things we'll highlight next week, when we're actually with you around modularity, looking at activities like long distance jet, remapping our supply chains in concert with our customer and not just what I would call the standard blocking and tackling, but really redesigning the way we conduct some of our core business and taking large chunks of labor sloth and relocating them and displacing them to lower cost countries or eliminating them altogether, so that we can really start to kind of leapfrog and get out of the day-to-day trench warfare and actually take big chunks out, is what's enabling some of these changes. And then the other piece of that would be and we've talked about it as we roll on and roll off some of the legacy programs and make progress in rolling into some of this business that's, I'd say, priced correctly for the market. We've started down that journey in '23. In '24, we see more of it and we'll continue as we get into '25 and '26. And we've been very vocal, there's some metals projects in particular. When we get into '26 and '27 now, that we expect to continue to roll out of our portfolio. And that's what we just continue to make progress on that front.
Operator: Our next question comes from John Murphy with Bank of America.
John Murphy: Obviously, there's been an all-out melee that's broken out around ICE versus EV and what's going to happen as far as penetration rates and volumes here. Jerome, I just wonder if you could kind of run through as simply as you can, what your relative exposure or content potential is on an ICE versus an EV and how much it impacts, how you think about cap allocation and the business in general?
Jerome Dorlack: Yes. I think when we think about content between ICE and EV, it really varies by region, I would say. In the Americas, when we think ICE versus EV, it's generally a push for us. If we just look at our platforms, in which platforms we have ICE versus EV, really where we see an acceleration is in China. In China, when we go to market on the EV side of the house, especially with NIO and Xiaoping, whereon they're very highly contented EVs, the NIO high end, the Xiaoping high end EVs. And you compare that to an average content per vehicle level in China and we see kind of almost a 2x or 3x multiplier there. And that's why, if you look at by segment what I would call penetration, it's almost 2x, if you compare that to by dollar penetration in the EV market in China and that's just because of content per vehicle there. That's where we really see this multiplier effect is in China, when you look at content per vehicle. We've talked a lot about, when you think pelvic crash management, belts to seats, massage systems, sound in seat and those things are now being right across into Europe and into the Americas. That's where you see this really big accelerator of content per vehicle. To your second question, exposure and risk of capital and capital deployment, we've been I think very good stewards of capital when it comes to leveraging existing brick-and-mortar from an EV versus ICE deployment. And really looking at things like long distance jet, particularly in the Americas and when we've went after an EV platform, we haven't installed new brick-and-mortar. We've really leveraged existing asset footprints. We've leveraged where we can existing lines run those programs side-by-side with their EV counterparts or with their ICE counterparts, sorry, such that, we're somewhat agnostic. If the EV platform doesn't hit, we've got the ICE platform and we can kind of run the two both side-by-side and play off on the volume. Where we don't have the ICE counterpart, we at least have the building, we have the brick-and-mortar. And so we're not stranded with a bunch of fixed costs. We're able to offset that with either more trim volume or put trim or foam or metals capacity into the building or other JIP platforms into the building and utilize that labor. We don't have a lot of stranded costs and we've been able to do that really in Europe and the Americas pretty effectively. We don't have this big fixed cost overhang on the business right now.
John Murphy: Yes, that's incredibly helpful. And then just a second question, with the JVs being rebalanced and repriced, can you just remind us your exposure in totality for the consolidated and unconsolidated business, your exposure to the Chinese domestic manufacturers?
Mark Oswald: Yes. Right now, it's about 40/60, John, so about 40% exposed to domestics, 60% foreign. While we've indicated though is, if you go out over the next three years, that flips. And so based on our business wins, based on what we see launching over the next two to three years, it becomes 60% exposed to local domestic, 40% to foreign.
Operator: Our next question comes from Emmanuel Rosner with Deutsche Bank. Your line is open. You may ask your question.
Emmanuel Rosner: Thank you very much. My first question is around the expectation for the outlook for growth of the market this year. In your slide discussing the fourth quarter performance, there was obviously a lot of volatility around it and puts and takes around program launches and some platform mix. I'm curious if you could just discuss at a high level, how do you think about this for the balance of fiscal '24?
Jerome Dorlack: Yes, I'll start with that and then I'll hand it over to Mark to kind of finish it. We still expect for the entire year to kind of be, I'd say flattish from a growth over market standpoint, just looking at how we balance between the regions. China, as we've said, we still expect China to be significantly positive to overall growth over market despite where we were at in Q1. If you then go through kind of the other regions, the Americas will be down versus market, Europe down versus market, and Asia really kind of flattish versus market. And that's just an effect of where we have certain launches in certain platforms in those markets, especially in the Americas, really looking at launches within the year, in particular Toyota Tacoma and then certain and our customers with Wrangler taking out shifts. There are certain launches on RAM this year that will be impacted by and other things. So, it's an impact of launches in the Americas along with other shift reductions that will drive that. And then in Europe, we've always said there are certain programs there that we've wound off and it's just the continuing of those wind off programs with non-profitable customers. I don't know, Mark, if you want to add any?
Mark Oswald: No, I think that was a good summary. The only, I'd just reiterate, China It is the growth engine for us, right? And so we're still expecting, call it, 500, 600 basis points of growth over market there. So, a good news story there.
Emmanuel Rosner: And then shifting to the margin outlook, so about 70 bps of improvement. Obviously, your framework over number of years, let's say, three years was for about, call it, 3 points of improvement. To get the balance of it beyond what you're guiding for 2024, is there like a specific timeline around it? Do some of these actions take specific time like unwinding of programs or is there an opportunity to, I guess, accelerate this would be my question?
Jerome Dorlack: So, I think as when we look at this business, Mark and I, I mean, we still firmly believe, Emmanuel, this business is an 8% business. And that's the, call it, the potential of our portfolio and our business and where it should be at. What I would say is, as Mark and I are into the business now and we continue to evaluate it and we go through our strategic plan, with the extension of certain ICE platforms, the extension of certain metals programs and where those set, we have to go through, look at our strategic plan, look at the layout. And as we go through that, we go through our strategic planning cycle, we'll come back to you with what that looks like and kind of a timeline to achieve and the levers to pull to get to that 8% margin target and what that looks like.
Operator: Our next question comes from Colin Langan with Wells Fargo.
Colin Langan: In the past, you've mentioned, I guess, about a $500 million-ish of unprofitable business that needed to roll off. So is that the business that's now delayed? And is that going to be now instead of ‘25, ‘26, more like ‘26, ‘27. And also in your overall comments, you actually sounded a little more positive on metals talking about how we're doing the whole system integration, having metals is important. Is your sort of long-term view of that business becoming a little bit more optimistic?
Mark Oswald: Yes. I'll start and then Jerome could jump in, but you're absolutely right. Certain of that metals business that we are planning on rolling off in '25, '26 as our customers have expanded certain of their ICE programs. Clearly, they want us to continue to run those. And so we have to evaluate how long they want to run this. Obviously, there'll be some commercial discussions with them, et cetera, and that's what Jerome was talking about earlier. We have to go through the strategic plan now and understand what those levers are and what we want to do with that. And you're absolutely right. There are certain parts of that business because we've been very strategic and very targeted over the past, call it, two or three years in terms of which business we wanted to win in metals and which ones added no value, right? As we've gone through that process, we are now left with, what I'd call, a good chunk of that metals business that is very favorable for us to do things like the modularity that Jerome was talking about. Jerome?
Jerome Dorlack: Yes. Just building off of what Mark said, there is portion of that business in particular certain assembly sequences, if you can imagine on the cushion pan where to really drive modular assembly solutions that we're putting into production this year, that real estate is proving to be extremely precious. And just based on how you have to route certain wire harnesses, occupant detection sensors and calibration sequences and fan routing and things like that, in order to really drive this modular assembly sequence and concept, you need that real estate and that real estate is proving to be very precious. What we've seen with certain customers, we have design authority and sourcing authority, we are really able to drive this concept and quickly accelerate it. And it's proven to be extremely beneficial to them and we're seeing a rapid acceleration on that front. It is with those customers, our metals business is proving to be an asset and a real accelerator. That said, yes, there are going to be certain metals programs that we were anticipating to roll off, that are now lingering, that we need to again go back and revisit in either commercial agreements or certain of our footprints and really look at what impact does that have on our strategic plan.
Colin Langan: Got it. And then, just going back to the puts and takes within guidance. Just to be clear, are there any recoveries in guidance? It feels like most suppliers have been sort of expecting some level of recoveries. Is that driving some of the performance? And any update on commodities? I thought the initial guidance had $10 million of help or something like that? I think this quarter had almost $10 million of headwinds.
Mark Oswald: Yes. Absolutely, we are expecting recoveries included in the business performance is recoveries, commercial recoveries as we go through there. Now again, as I indicated during the prepared remarks, Colin, those are lumpy as we go through the different quarters. They tend to smooth out over the course of the year, but going from Q1, for example, into Q2 will be lumpy. You'll get a little bit smoother as I go from H1 into H2. But there is just that element in there. From a commodities aspect, you're right. There was about a $10 million benefit that we saw as we went into the fiscal year. As I looked at Q1 results, though, clearly timing of those recoveries versus the overall price, the gross price coming down. So again, I look at that as more timing related than anything else at this point.
Operator: Our next question comes from Joseph Spak with UBS.
Joseph Spak: Maybe just picking up there because, obviously, in North America, the results in the quarter, the margin it was really strong, even stronger ex strike closer to 6%. But it does seem like the timing of those recoveries did help a little bit. So, like, I guess, how much of that was sort of out of period or sort of unusual with the sort of lumpiness and what should we expect sort of that sequential maybe decline to occur? And then just more broadly, it sounds like there's a bunch of moving parts in North America with the peso and the Kuiper JV benefit. I think previously you sort of hinted that the North American margin for the year, ex strike could show some expansion, but given the performance to date. Is that -- could we even see expansion with the strike or is there really going to be some puts and takes that sort of knock that back down over the course of the year?
Mark Oswald: Clearly, there's going to be timing with the commercial recoveries, right? So I wouldn't take my Q1 and just kind of lay that out in terms of expectations for commercial recoveries, they could be lower in Q2, et cetera, as I indicated. We do expect margin expansion as we go through the year, year-on-year, even ex strike, Joe. And so, I do expect that is consistent with what our prior comments were around the margins.
Jerome Dorlack: Yes. And just a couple of comments on the Americas. And just the Americas business in general and really why, it's a good example of -- this business is really, I'd say difficult to run on a quarter-to-quarter basis. It's one reason why we don't really provide kind of quarter-to-quarter guidance anymore just because of that reason. Yes, we don't want to drive kind of quarter-to-quarter behavior and there was a lot of lumpiness in that first quarter in the Americas, especially associated timing of some of the commercial recoveries that were out there. But really what's key for us is when we look at the Americas or any one of our segments, we expect the Americas even with the strike impact to be expanding operating margins year-over-year driven by business performance within that segment and that's what we expect to see there.
Joseph Spak: And then just getting back to some of the growth of our market commentary. I just want to -- it seemed like there were a couple of statements at odds, because you mentioned, obviously, there was -- in China, there was meaningful underperformance in the first quarter, but you still expect meaningful outperformance for the year. I think, last quarter when you showed it was almost 11%. But then in your prepared comments, you sort of talked about how some of the production uplift was from players that you don't have a lot of content with. So what really sort of drives that acceleration in the outgrowth over the balance of the year?
Mark Oswald: I think it's the launches, right, and the pacing and cadence of those launches. So for example, in our first quarter, that's the fourth quarter of the calendar year, certain of those customers that we mentioned, whether it's the BYD, SAICs, obviously, they're performing very strong to hit their year-end targets, right. We know that we are going through certain launches in our Q1. We also understand where we're going to be on those launch curves, as we go through Q2, Q3. So again, that's all predicated or based on our guidance. We expect that to improve and progress as we go through 2024, ultimately outperforming by the 500, 600 basis points that I'd indicated.
Operator: Thank you. [Operator Instructions] Our next question comes from Dan Levy with Barclays. You may ask your question. Your line is open.
Dan Levy: Hi, great. Good morning. Thank you for taking the questions. I wanted to, just go to the slide in which you talked about some of your new wins. Specifically, I don't think you've talked in the past about BYD. This is I think the first time we've seen a BYD one for you. I know you generally don't talk much about specific customers, but given the amount that BYD is responsible for some of the positive revisions in China, maybe you could just talk about this particular win and what you might be expecting with BYD going forward?
Jerome Dorlack: Yes. I mean just a couple of words on that win for us. It's one where -- I think it shows the ability of our team to really demonstrate value for a customer on our components segment. And without going into a lot of details in particular on BYD and their total supply chain, I think it is known they have a portion of seeding they do in-house and a portion of seeding that they outsource. And for us to really go in with our team, very deep expertise on the component side and demonstrate to their in-house seeding company that they have, how we can provide value on the components piece of it through that foam and trim, was a very important, what I would call, conquest for us and to show we don't have to be just a JIT type of supplier and we're willing to play on the component side. We're willing to demonstrate our expertise and really drive a significant amount of value for the customer there. And so, for us, it's really kind of a way to dip our toe in the water there and add a tremendous amount of value. This is our real first foray directly into BYD. We did have in a prior call one of BYD's joint ventures, a win on the complete seat side that included JIT, foam, trim and metals that we had announced in our Q3 of FY '23 earnings call, through another joint venture they had. That wasn't directly with BYD, it was through a joint venture. I think it is also important to point out that, through our KEIPER joint venture, where we're a 50/50 holder in that BYD is a very significant customer to them through the mechanism side that we don't always break out the customer breakdown obviously of that joint venture. But we do get a significant amount of, call it, JV income kind of indirectly through BYD, through the KEIPER side of the house as well. So there has been growth there. We've been enjoying that growth through KEIPER and then through the equity income side as well.
Dan Levy: Great. Thank you. As a follow-up, I want to ask about mix and specifically in North America. I think we know obviously, from a mix perspective, you benefit tremendously from three row SUVs, larger vehicles. I think one of the questions out there right now is with prices, where they are and potential for negative mix shift in the industry. What would be the impact to you? And to what extent, if there is maybe some slightly negative mix in the industry, could you still hold your path to 8%? How critical is mix in the path to getting to 8% margin?
Mark Oswald: Yes. Dan, it's de minimis. It's a very small piece, as we've indicated before. It's all about volumes and the stability of those volumes mix. Mix again is not going to be, what I would say, the enabler for us to achieve that 8%.
Jerome Dorlack: Yes, I think nothing more to add. I agree with Mark. It certainly isn't mix between high end to low end vehicles and nothing along those lines, I think.
Operator: At this time, I'm showing no further questions. I'll turn the call back over to the speakers.
Eric Deighton: Thanks, everyone, for joining the call. I appreciate it. We'll be available for follow-ups as necessary throughout the day or afterwards. Reach out to me or Mark. We'll be happy to take any other questions. So we have the day, thank you very much.
Operator: Thank you. This does conclude today's conference. We thank you for your participation. At this time, you may disconnect your lines.